Operator: Good afternoon, and welcome to TripAdvisor's First Quarter 2015 Earnings Conference Call. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Will Lyons, TripAdvisor's Senior Director of Investor Relations. Please go ahead.
Will Lyons - TripAdvisor, Inc.: Thanks, Stephanie. Good afternoon, everyone, and welcome to TripAdvisor's first quarter 2015 earnings conference call. Joining me today are Steve Kaufer, CEO, and Julie Bradley, CFO. After the market close today, we distributed our earnings release through our Investor Relations website, located at ir.tripadvisor.com. In it, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. Also, our Investor Relations website has a supplemental financial document, which includes certain non-GAAP financial measures discussed on this call. Before we begin, I'd like to remind you that estimates and other forward-looking statements included in this call represent the company's view as of today, May 6, 2015. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to today's earnings release and TripAdvisor's filings with the SEC for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. Finally, unless otherwise stated, all comparisons on this call will be against our results for the comparable period of 2014. And with that, I'll turn the call over to Steve.
Stephen Kaufer - TripAdvisor, Inc.: Thank you, Will, and welcome, everyone. We were off to a great start. We accelerated total traffic growth, hotel shopper growth, and content growth. We've made progress on all of our key initiatives and we remain solidly on track to deliver strong revenue and profit growth this year. Total revenue grew 29% to $363 million or 36% growth on a constant currency basis. On the bottom line, adjusted EBITDA grew 4% to $127 million or 15% on a constant currency basis. This quarter's business performance was slightly ahead of our expectations and keeps our full year outlook intact. Our first quarter illustrated two important trends that position us for profitable growth for years to come. First, our core hotel business is strong, growing, and very profitable. Click-based revenue grew 20% or 27% on a constant currency basis. And second, our newer attractions, restaurants, and vacation rental businesses are growing even faster than the core. These businesses, while highly seasonal, contributed nicely to our revenue growth this quarter. These near-term financial results were strong and speak to a solid global travel backdrop. Now let me turn to our key initiatives and start with how we are expanding our lead in content and community. Listings grew 19% to 4.9 million businesses with pages on TripAdvisor, including 16% growth in hotels, 25% growth in attractions, and 19% growth in restaurants. We're seeing record user engagement as well as evidenced by reviews and opinions growing at 45% to 225 million. And users are contributing at an accelerated rate of 139 per minute, which is 39% faster than last year. In addition to reviews and opinions, users are also contributing ratings, helpful votes, saves, tags and a wealth of location information at a massive scale, helping us to innovate, streamline, and personalize the TripAdvisor experience across all devices. This metadata underpins our unique understanding of travelers, helping us deliver better product to our users and more targeted insights to our partners. On the partnership side, we're pleased to be one of Google's initial launch partners for customized voice action through the Google app, where users can say, okay Google, show attractions near me on TripAdvisor and be directed to our app. Users will also be able to find our content when they are using Apple Maps. Both integrations highlight that, on any device, TripAdvisor has great answers to the most frequent and fundamental travel queries. Where do I want to go? Where should I stay? Where's a good place to eat? What should I do? Not surprisingly, having the most valuable travel content on the web attracts the largest travel audience on the web. Traffic growth accelerated for the second straight quarter, growing 31% to 340 million average monthly unique users. Hotel shopper growth accelerated for the second straight quarter as well, up 26%. Another area of strength and deep engagement is mobile, where our top ranked apps have been downloaded 190 million times, including 170 million downloads of our top-ranked TripAdvisor app. We believe organic downloads and user engagement on mobile apps is a powerful indicator not only of brand strength but also that consumers view TripAdvisor's mobile products as an indispensable tool. Our continued outsized traffic growth speaks to our global reach. As we reinforce our leadership position in travel media, we're in the early stages of expanding our position to help more users transact with more businesses on TripAdvisor. In hotels, we expanded Instant Book's reach in Q1. On the user side, we were pleased to introduce the booking feature to some mobile phone users in the U.K., Australia, Canada, Ireland, and New Zealand. We're honing a more seamless booking experience on TripAdvisor and we're working hard to enable all English-speaking countries. On the partner side, we're currently working with over 50 OTA and hotel brand clients, including 20 that are live. Q1 was also the first full quarter of our Instant Book beta for independent hotels. We're live with more than 70 connectivity partners and thousands of independent hotels currently taking bookings on our platform. Early feedback continues to be very positive. I'd be remiss if I didn't call special attention to the extended Instant Book team, which is working tirelessly to bring our Instant Book product to more users and more partners. I thank them for their continued efforts. In attractions, the teams make great progress in improving the planning and booking experience for users and partners alike. I'm very pleased to announce that at the end of the quarter, Viator began the official rollout of the Viator Marketplace, which will enable us to rapidly expand the number of bookable listings within the 530,000 attractions on our site. Most importantly, Marketplace will give users more choice, be it to book things like a helicopter ride over the Grand Canyon, a skip the line pass for the Louvre, or a private tour of Machu Picchu, which in turn should drive more bookings for more partners and a bigger and better business over time. On the TripAdvisor side, our team completed a refresh of the attraction pages, giving users a cleaner and easier way to plan and book things on their trip. We're really excited about how attractions fit so well for users and our business. In restaurants, our listings, content, and traffic are all growing nicely. From the business development side, we are executing on our organic and inorganic growth strategy, which is building value for more users and more restaurant tours. We're investing organically to expand our new restaurant platform, TheFork, and recently expanded into the online reservation market in Sweden and Turkey. We're growing through acquisition as well, adding Portugal-based BestTables to the TripAdvisor family during the quarter. We've seen enormous opportunity to leverage our content advantage, deep mobile engagement, and 2.7 million restaurant listings around the world to match more travelers and locals with more restaurants. Last, but certainly not least, we're building a bigger and better vacation rentals business helping more users find and book great properties on our platform. Listings growth reaccelerated to 18%, and we now offer more than 700,000 listings. For some trips, the vacation rental is a better option than a hotel and free-to-list is helping us offer as many high quality listings as possible. During the quarter, we also finished a significant migration of our inventory onto one platform. While invisible to the user, this has enabled faster inventory onboarding, making it easier to deliver more options to choose from. We're seeing the financial benefit as transaction revenue grew 200% and accounted for more than 50% of our vacation rentals revenue in the quarter. In sum, the year is off to a great start. We've opened an exciting new chapter for our business, building upon our leading content to enable more users to plan, compare and book their hotels, attractions, restaurants, and vacation rentals on TripAdvisor. As I conclude, in addition to thanking our employees for all of their continued hard work, I also want to thank Julie Bradley, who announced that she's stepping down as CFO after almost four years. Julie has been instrumental in guiding the company through the spinoff, building a world-class finance organization and has played an important role in positioning the business for the long-term. She's been a great partner in building TripAdvisor and I thank her for her contributions. Thank you, Julie. And now, here's Julie.
Julie M. B. Bradley - TripAdvisor, Inc.: Thank you, Steve, and good afternoon, everyone. I wanted to start by saying a few words about my decision to step down as CFO. My decision is a personal one based on my desire to spend more time with my two great teenagers before they head off to college. This was a hard decision for me, because of how much I love TripAdvisor and all the people I work with here. In particular, I can't thank Steve and the rest of the management team members enough for their friendship and support; it's a great team. I'm confident that TripAdvisor's best days lie ahead and I'm excited about the path they are on. It feels like a good time for this change. The business is doing well. The foundation is solid. I have complete confidence in the finance team and I plan to stay with the company through September or until we find my successor to ensure a smooth transition. I also want to thank our shareholders for their partnership and support. Now on to the financials. TripAdvisor turned in a strong first quarter despite the U.S. dollar continuing to strengthen. First quarter total revenue was up 29%, driven by our large and growing click-based business as well as a full quarter contribution from lafourchette and Viator. In constant currency, our revenue growth would have been 36%. Q1 click-based revenue grew 20%, or 27% on a constant currency basis, driven by 26% hotel shopper growth and very strong CPC pricing for our high-value leads. Revenue per hotel shopper growth was negative 5% for the quarter. Absent currency headwinds, revenue per hotel shopper growth would have been slightly positive, a great result as more than half of our traffic growth is coming on the phone which monetizes at a fraction of desktop and tablet search devices. Display-based revenue grew 9% in the first quarter against the tough year-over-year compare. We continue to improve our data management platform to deliver more value to a growing global list of marketers, including both travel and non-travel sectors. Our performance in this product category continues to well outpace industry growth rates. Subscription, transaction and other revenue grew 88% for the quarter, driven by contributions from attraction and restaurant acquisitions as well as by great organic traction in vacation rentals. Q2 should remain an easy comp in this regard, and then we expect growth to normalize as we lap these acquisitions in the back half of the year. Consolidated Q1 adjusted EBITDA was $127 million, an increase of 4% or 15% on a constant currency basis. Beyond these currency headwinds, these results reflect negative contribution from our attraction and restaurant acquisitions due in part to their revenue seasonality, which is heaviest in the summer travel months as well as our aggressive investments to drive global scale. From a segment perspective, our core hotel business remained strong, posting 20% revenue growth or 26% in constant currency with a very solid 41% adjusted EBITDA margin. During Q1, we invested more than $10 million in television advertising to amplify our 'Plan, Compare, and Book' consumer message. We plan to step-up this investment in Q2 and again in Q3 to deliver our message into new and existing markets heading into the heavy summer travel planning season. Other segment revenue grew 187% in Q1, primarily driven by attraction and restaurant acquisition contribution as well as vacation rentals. Other segment's adjusted EBITDA margins were negative 12% for the quarter due to ongoing organic investments and high revenue seasonality in attractions and vacation rentals. On this last point, I'll again remind everyone that these transaction-based businesses have revenue that is heavily weighted in the summer months as we recognize revenue when the ticket gets used or the stay occurs. However, their costs are more evenly distributed throughout the year. As we outlined on our last call, we are executing on a three year to five year growth plan in these newer categories, leveraging our strong core hotel business to fund global expansion. Near-term, our priorities are simple; drive revenue growth and market share gains. We believe adjusted EBITDA margins should improve over time as these businesses achieve greater global scale. Moving on to head count, we ended Q1 with nearly 2,900 employees, up 38%, driven primarily by our attraction and restaurant acquisitions as well as our ongoing investments to attract top tier talent. For taxes, our Q1 GAAP effective tax rate was 27% which was in line with our projected 2015 GAAP tax rate of 27% to 28%. We ended Q1 with 146 million fully diluted shares outstanding and we estimate that our diluted share count could increase roughly 1% to 2% by the end of 2015 subject to our stock price movements, potential share buybacks, and new share issuances. We generated $99 million of cash from operations during the first quarter. CapEx for the quarter was $31 million or 9% of revenue, driven by leasehold improvements for our new headquarters, capitalized website development, and, to a lesser degree, data center expansion to support our traffic growth. This amounted to $68 million of free cash flow in Q1 or 19% of revenue. A quick note on CapEx. This should decrease as a percentage of revenue when we take occupancy of our new corporate headquarters in late Q2 or early Q3. As such, we continue to expect 2015 capitalized expenditures to be roughly 5% of revenue. From a liquidity standpoint, our cash, cash equivalents and short- and long-term marketable securities increased by $48 million during the quarter to $642 million, driven primarily by free cash flow. We have just over $100 million remaining under our existing share repurchase plan, outstanding borrowings from our term loan of $290 million as well as an undrawn credit facility of $200 million. As it relates to our outlook, our business has performed well year-to-date amidst worsening FX headwinds. As such, we continue to expect full year total revenue growth in the high-20%s and EBITDA growth in the low- to mid-teens. I'll remind everyone that we forecast on an FX neutral basis, so future changes to FX could impact our 2015 outlook. On the EBITDA side, given the timing of our offline marketing investments, the high seasonality of revenue and our growing transaction businesses and a full quarter's cost structure from our attraction and restaurant acquisitions, we expect Q2 adjusted EBITDA year-over-year growth to be flattish, before a strong step-up in the back half of the year. This will include $20 million of TV advertising spend, which is roughly $10 million more than what we spent in the second quarter of last year. In summary, we've had a solid start to the year. We're hitting our near-term objective as we continue to lay the foundation for long-term growth. We will now open the call to your questions.
Operator: Thank you. Our first question comes from Lloyd Walmsley with Deutsche Bank. Your line is open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks, guys. First question just in terms of Instant Book. Can you kind of give us an update from a consumer standpoint, what you're seeing in terms of click-through rates, and ultimate booking conversion downstream when you're putting an Instant Book option in front of user instead of a metasearch option, and kind of how that compares on a supplier-direct versus OTA?
Stephen Kaufer - TripAdvisor, Inc.: Sure, Lloyd. This is Steve. So, the click-through rate what we've always been pleased to report and can reiterate is that when we put a button up there on either the phone or desktop, tablet devices, that says book on TripAdvisor, consumers are fine with that. They click at roughly the same rate as if we are putting any other brand. So, our interpretation of that is perfectly happy to leverage the trust that they have in TripAdvisor to start down that booking funnel. We don't disclose the actual conversion rate or we're not ready to disclose the actual conversion rate of those leads but you can imagine as it's been rolled out on the phone in so many places and being out there that it's working well for us and the rollout continues as you've seen in my remarks into other countries on the phone. On desktop, we haven't rolled it out fully but we continue to work through both the downstream conversion. We continue to work optimizing the funnel. And just to make sure that the user's experience is as good as it can be, as good as it should be whether the filament partner is a supplier direct hotel, hotel chain, or through an OTA.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: And then, I guess, following up on that, do you still feel like you have the necessary sales footprint to build hotel direct supply using the existing business listing sales force or do you think that it will require more people to kind of get it where you want it to be?
Stephen Kaufer - TripAdvisor, Inc.: I'd say we continue to grow that group but whereas a couple of – many years ago when I talked about having to build up a full sales organization to go reach all of these hotels, we don't need another one of those. We're clearly on the path of leveraging the one that we have and when we've seen signups from individual properties come straight through our website with very little by way of a touch of a sales rep. For an independent property – or I should say, for a chain property, we already have the key account infrastructure in place. For an independent property, the switch from a subscription or the addition from a subscription to a commission rate is quite well appreciated by the independent. So we expect modest growth, but nothing that – nothing involving rebuilding an entire sales force.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Okay. Thanks, guys. And Julie, good luck and enjoy the time with your family.
Julie M. B. Bradley - TripAdvisor, Inc.: Thank you, Lloyd. I appreciate it.
Operator: Our next question comes from Eric Sheridan with UBS. Your line is open.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the question. Maybe just following up there. Steve, you've talked in the past about sort of the education curve, helping partners understand Instant Booking to lead to broader adoption of it by some of the big hotel chains, some of the partners, I know you'd like to sign up. Maybe give us a little bit of color around where those conversations sit, how they are evolving and what people want to see as part of that education curve to get more comfortable with the product long-term? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure, Eric. And another excellent question. So, the education curve for the big chains, I think kind of the under – most of them understand what we've – what we're doing here. I'd say there's general buy-in and an understanding as to why we're doing it and how we can help them. There is an ongoing negotiation in terms of how and under what terms do they want to participate. So stay tuned is the message. I don't think more education is necessarily the answer as opposed to closing more on the negotiation side.
Operator: Our next question comes from Robert Peck with SunTrust. Your line is open.
Robert S. Peck - Suntrust Robinson Humphrey, Inc.: Yeah, thank you. Congratulations. I want to ask about hotel shoppers, which had a great growth rate here, about 26% or so, off of a little bit of an easier comp. Julie, I was wondering if you could talk – how should we think about that number going forward here through the rest of the year? Thank you.
Julie M. B. Bradley - TripAdvisor, Inc.: Sure. Thank you for the question. So we don't forecast overall hotel shoppers. We see we're very excited with the growth, especially given that it is off a very large base.
Robert S. Peck - Suntrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: And our next question comes from Douglas Anmuth with JPMorgan. Your line is open.
Douglas T. Anmuth - JPMorgan Securities LLC: Thanks for taking the question. Two things – first, just on meta pricing or just overall click-based pricing, can you talk about the increase that you saw in 1Q just on an FX neutral basis? I may have missed that, but then also, kind of how you're thinking about that going forward and perhaps the room that's left there in terms of meta pricing? And then, secondly Julie, can you just clarify on the 2015 guide very clear that you're maintaining the reported numbers. Did you provide what that would be on an FX neutral basis? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: So I'll take the first...
Julie M. B. Bradley - TripAdvisor, Inc.: Okay.
Stephen Kaufer - TripAdvisor, Inc.: ...on the CPC and then float it to Julie. So, I guess I would suggest that the auction as it currently stands is in fact being a reasonable representation of the value of the leads, except as best that our clients can track it. So we have always maintained – continue to maintain – that we're missing a big chunk of credit for the transactions that we're driving, but as the tracking is currently implemented by basically all or almost all of our clients, the last touch attribution to get technical, we're getting the credit and our clients are paying a fair price in the auction. So, as the CPC reflects the competitive nature of the auction, we don't expect – we have no reason to expect – CPC prices in particular will meaningfully go up or necessarily go down as we don't see too many of the auction dynamics changing over the course of this year.
Julie M. B. Bradley - TripAdvisor, Inc.: Sure. And then I would take the FX guidance related part of the question. So, early in Q1 at a conference, we stated that looking at our guidance, it's included about a 5% revenue headwind and 10% EBITDA headwind as compared to the comparable quarter throughout 2014. Since that time, we've probably seen about a 200 basis point further deterioration in rates, but we are still comfortable holding the guidance that was set out originally.
Douglas T. Anmuth - JPMorgan Securities LLC: Okay. Thank you.
Operator: Our next question comes from Heath Terry with Goldman Sachs. Your line is open.
Heath P. Terry - Goldman Sachs & Co.: Great. Thanks. Steve, you've talked a lot about sort of the demand from larger hotel chains for Instant Booking and what they see as being an acceptable rate or commission for that – or partnerships – where they're willing to sign-up in the current travel environment. Curious how that's evolving, if you're starting to see as Instant Book matures, any nuance to the attitude that they're taking towards adding Instant Book as an option and whether that's different in Europe versus the U.S. and large chains versus smaller?
Stephen Kaufer - TripAdvisor, Inc.: Sure. Good perspective to add. I'd say there's general sort of a faster reception amongst the smaller chains, in part they – it's a bit of an easier decision for them or another distribution channel. The bigger chains, I would characterize it as good and material progress, forward progress, in the discussions with most of the big chains and I remain optimistic that, that one to several will continue to – will sign-up and we'll be able to publicly announce those.
Heath P. Terry - Goldman Sachs & Co.: Great. Thank you.
Operator: Our next question comes from Tom White with Macquarie. Your line is open.
Tom White - Macquarie Capital (USA), Inc.: Great. Thanks for taking my question. On Instant Booking, I was hoping maybe you could provide some details about how you guys are sort of internally modeling or forecasting the monetization of Instant Booking this year, sort of what kind of impact from that product is kind of contemplated in the full-year revenue outlook. And then just secondly, there's been a lot of M&A in the space recently, maybe just some high-level thoughts on what that means for you guys, I guess there's sort of a trade-off between maybe more revenue concentration, but maybe to these newly acquired brands kind of are they going to perform better under their new owners and if they convert better, maybe have more margin to spend in marketing? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. So, with Instant Booking, it certainly is a challenge for us to forecast that. In terms of monetization, we play the long games, so it's not just a questioning of getting to revenue neutral or slightly above or slightly below. We're taking our best guess over the course of the rest of the year as to when we think we will roll out and how much, but as you know some of it's not in our control in terms of – not entirely in our control, in terms of the timing of some of the chains coming onboard. So the short answer is when we look at it going forward, we're not projecting a major financial hit by an Instant Book rollout, that's something that at least at this point we're not choosing to do. In terms of the OTA and the M&A landscape and the impact on TripAdvisor, the Expedia, Orbitz deal is not closed. If one assumes that it will, then we – and if I were to guess or hypothesize on what Expedia may do, so I want to be clear that not sharing their potential plans with us, one might guess that they would take a bunch of their inventory that they have excellent margin on and put it onto the Orbitz platform and Orbitz would continue to bid it on TripAdvisor, that's at least the history of what they did with Travelocity. As they did that with Travelocity, that was kind of a net positive, I believe, for TripAdvisor, probably a net positive for Expedia as they had another well-known brand that could bid on our leads and given that in general I think with Expedia's having slightly better margins than Orbitz, they would then be able to bid higher if they chose to. So all of that's, obviously, completely outside of our control. But when we looked at that acquisition, we think it would be a neutral to perhaps a modest positive to the auction dynamics on our site. Most of the auction dynamics is in the first two slots of the meta landscape and the first two slots tend to be the biggest brands and that tends not to be in Orbitz or Travelocity. So it's – that's why I'm reasonably sure it won't be a meaningful change, at best it would be a modest one.
Tom White - Macquarie Capital (USA), Inc.: Thanks for the color.
Stephen Kaufer - TripAdvisor, Inc.: Sure.
Operator: Our next question comes from Manish Hemrajani with Oppenheimer. Your line is open.
Manish Hemrajani - Oppenheimer & Co., Inc. (Broker): Hi. Thanks for taking my call. Really solid traffic growth this quarter. As higher traffic visits the platform, how well is that incremental visit are converting? Is it similar to what you've seen before or is it converting at a lower rate than your existing traffic? And then, hotel shopper growth was up 26% and traffic growth was up 31%. Are you starting to see more traffic growth on a non-hotel side? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Yes. In general, we do see more growth on the non-hotel side, just there is a lot more restaurants, there is a lot more languages that we're expanding on. And I would project that to continue in the future as we're big in restaurants and restaurants is often a very local use case on the phone. We would expect that to continue to grow and, for obvious reasons, much faster than hotels, that's kind of why we do breakout the hotel shopper number versus the total traffic. So if I were to look and forecast on a total revenue per unique user, yes, we expect that to continue to going down, that's kind of our modeling, our planning. And it's not a bad thing to have the constant or the incremental traffic growth even in the segments that we don't monetize particularly well, restaurants in Japan for instance today. But you can see as we move our booking capabilities into restaurants and attractions and expand them globally and expand them in multiple languages, that's a way for us to tap into that traffic growth that's not in the hotel segment. So we're by no means ignoring that growth, but it will always – for the foreseeable future be a lower monetizing consumer than someone who's shopping for a hotel. So, better or worse than historical, I think because of the shift to the phone and a bunch of our hotel shopper growth is coming on the phone, and the user experience is delightful, excellent, all nice engagement metrics, but the likelihood that that consumer is going to finish their booking on the phone is dramatically less than the desktop. Therefore, the revenue per hotel shopper on the phone much less than on desktop, which brings down the average of revenue per hotel shopper over time if you just look at it through a device lens. Obviously, we're making up some of that on a combination of pricing and conversion, and getting higher quality traffic into the hotel shopper funnel on desktop to make up for the downward pressure on the phone.
Manish Hemrajani - Oppenheimer & Co., Inc. (Broker): Thank you.
Operator: Our next question comes from Ken Sena with Evercore ISI. Your line is open.
Kenneth Sena - Evercore ISI: Hi. Thank you. Just a comment, Julie, you made about revenue per hotel shopper and the fact that on an organic basis you're actually seeing a slight increase there. Can we infer from that – I'm sorry – can you hear me okay?
Julie M. B. Bradley - TripAdvisor, Inc.: Yes, yes.
Kenneth Sena - Evercore ISI: Can we infer from that maybe that the mobile headwind is starting to subside a bit, as we look forward, thinking about modeling that ratio?
Julie M. B. Bradley - TripAdvisor, Inc.: Sure. So, Ken, my actual statement was that revenue per hotel shopper was down in this past quarter but if you look at it on a constant currency basis, not...
Kenneth Sena - Evercore ISI: Okay, not organic. I'm sorry.
Julie M. B. Bradley - TripAdvisor, Inc.: Yeah. So, if we just take that, then it was actually slightly up, which we were pleased about it.
Stephen Kaufer - TripAdvisor, Inc.: The mobile headwind will continue and because there's still such a gap there, it's really up to us, the company, the team to be able to make up for some of that headwind, frankly, as we did this past quarter through other means on the desktop plus some improved monetization on the phone but it's still a headwind for what we've seen for quite some time.
Kenneth Sena - Evercore ISI: And can maybe you give us some sense of what the change would have been on an organic basis?
Julie M. B. Bradley - TripAdvisor, Inc.: So, revenue per hotel shopper should be all organic because the acquisitions that we've been making are in the restaurant and attraction space. And the way we defined hotel shopper, if someone who's coming to look at a hotel page, either a hotel listing page or a hotel detail page, as compared to our restaurant and attraction customers who are coming to look at those specific pages.
Kenneth Sena - Evercore ISI: So the increase then would be the same whether it's you're talking about ex-currency or you're talking about organic, correct?
Julie M. B. Bradley - TripAdvisor, Inc.: So, there is no difference between organic and total when it comes to revenue per hotel shopper because we do not make any acquisitions that were in the hotel segment.
Kenneth Sena - Evercore ISI: Okay. And so, as we think about the improvement – I know that Steve mentioned that you still have that gap that you have to close, but clearly you improved this quarter. So as we look forward how can we think about that ratio trending? Does it get better from here do you think or is there still some erosion to expect?
Stephen Kaufer - TripAdvisor, Inc.: Yeah, I'd say it remains a challenge for us each quarter and we can make progress on the rev per hotel shopper both by better monetization on the phone through things like Instant Book and the successors to that, the continued rollout, as well as the users are getting, we believe, travelers getting more accustomed to booking on the phone. So we're not in control of that but it's a trend that we see and we expect which will improve conversion rates just through time. And then, the additional ongoing conversion improvements that we've gotten good at that we need more of on the desktop, all of which to compensate for the headwind of the general shift over to mobile.
Operator: Our next question...
Stephen Kaufer - TripAdvisor, Inc.: Hard for us to model, harder for you to model.
Operator: Our next question comes from Kevin Kopelman with Cowen & Co. Your line is open.
Kevin C. Kopelman - Cowen & Co. LLC: Hi. Thanks. Could you comment at all on the rate parity investigations of OTAs that we're seeing in Europe? How do you expect to see that situation developed and is there any impact on TripAdvisor's business? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. So we do follow it. It's kind of not really of top concern for us. People do come to TripAdvisor; they look at one of the values that we provide. All of our customers has the ability to use us to shop around for the best rates. So, to the degree, to which rates do become more diverse over more segments or more different channels, that makes the price comparison engine more valuable. To the Instant Book side, it makes us work harder to make sure we're getting the best rates on our site so that our own Instant Book option isn't being beat by some other channel. So, in general, we're fine with it, we don't currently model in any business benefit by that change and honestly if it happens I'm not sure we'll ever really know that that – if we see a benefit, it will be relatively impossible for us to tie it back to that ruling or those changes that will follow.
Kevin C. Kopelman - Cowen & Co. LLC: Okay. Thanks, Steve.
Stephen Kaufer - TripAdvisor, Inc.: Sure thing.
Operator: Our next question comes from Nat Schindler with Merrill Lynch. Your line is open. If your line is on mute, can you please un-mute it?
Jason S. Mitchell - Bank of America Merrill Lynch: Yeah. Sorry about that. Hi, this is Jason here for Nat. I was kind of just wondering if you could kind of talk us through how you think Instant Book might affect meta rates more in the long-term picture? You talked about the top two slots being the important ones and if meta is the first button, do you expect that to pressure rates? And then, on mobile, you're rolled out more with Instant Book on mobile than you're on desktop. Are you seeing an early signs of breakage being cured by that? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Hi, Jason. Two good questions. So, I don't see – personally, I don't see the Instant Booking pressuring the meta rates. Our clients in general bid for kind of the most they can pay or the most they choose to pay for the traffic. Instant Booking simply means there is less traffic available to the other players, but we don't – it would be very hard for us to be able to measure that there was an impact – and logically it's a little hard for me to see that there would be an impact. In terms of – on the phone – is the breakage being cured. Look, we do see a repeat rate on the phone. Is it because people are getting more used to using the phone and if they flow through booking, it's better they come back? Yes. Is it because IB offers a really nice convenient experience, so they come back to use IB? Yes. What's the breakout between the two? Really hard for us to say. As evidenced by the full rollout in the U.S. and the more aggressive rollout in other countries on the phone, we like the experience, we're committed to it, we're rolling it out. We're not in a must roll it out next week, but it's a train that there's no stopping, so we will continue that over the course of this year.
Jason S. Mitchell - Bank of America Merrill Lynch: Okay, thanks for that. And then, just going back to the hotel shopper growth, you had like a 1,200 basis point easier comp and you accelerated 300 basis points this quarter year-over-year. Can you just – was there anything in Q1 of 2014 that we should be aware of for that comparison?
Stephen Kaufer - TripAdvisor, Inc.: It's a good question. I don't put a ton of stock in the quarter-to-quarter hotel shopper, so yes, it was lower a year ago. When we look at 26% this quarter and 20% something last quarter, those are great numbers of hotel shoppers coming to the site over and over and over again. So again, if next quarter it's a slightly lower number or a slightly higher number, it's just a factor that goes into the revenue. We're working off such a large base, and as I said before, what's going to get lost in some of those numbers are the number of hotel shoppers that come back within the same week or within the same month, which aren't counted in these growth rates. So, again, growth rates slowing a bit – I mean, acceleration is always a great thing – but slowing a bit is not, in my mind, a sign of an issue. It's really what we can do with those shoppers and we've had some nice progress in that area, even in a situation where it's been in a growing quarter.
Jason S. Mitchell - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Our next question comes from Mark Mahaney with RBC Capital Markets. Your line is open.
Mark S. Mahaney - RBC Capital Markets LLC: Julie, a question long term about the potential margins for the non-hotel business, could you give us a sense of where those could shake out as those different segments scale?
Julie M. B. Bradley - TripAdvisor, Inc.: Sure. So, we are definitely investing for the long-term. We see huge market opportunity. Just looking at the restaurant space, for example, there's a lot of greenfield opportunity throughout the globe. There's public comps that are out there that are very profitable. And as we understand what that business could look like at scale, but because of the large opportunity in front of us, we have the luxury of using our very stable, growing profitable hotel business to expand into these adjacent areas. So as we continue to do that, we most definitely will see profitability over the long-term and it's just a matter of timing and when we get a complete penetration and mature business model.
Stephen Kaufer - TripAdvisor, Inc.: And it's not a specific number I can offer, but we do point to the fact that in restaurants, it is a very local product and there tends to be a winner take all or a close to it in a given city. Because if you get enough restaurants and you have enough user demand and enough app installs, that's very habit-forming; you go back to the app. And in almost all of these businesses, it's a cost of customer acquisition that drives the margin, and when you can get that cost of customer acquisition down to be zero because it's a repeat user, the rest of the business just turns out margin. When you look at attractions, it's less a winner take all because it's a more episodic purchase as with travel in general. But, we already have the website that's the closest out there in terms of where people would go research what they want to do when they're in market, when they're planning a trip. And we have far and away, to our thinking, the largest number of installed apps with great attraction content with 170 million TripAdvisor apps out there growing at a wonderful rate. So, you take all of that, then you think of Viator as the OTA for attractions, selling a product online that's not shipping a good but ticketless just like a hotel or package list; it's just an electronic ticket. That needs a bunch of information to sell it. We have that information. That needs the connectivity to be able to deliver the inventory, the tour or the ticket not unlike a hotel reservation, and we're in a very good position, we believe, to be a able to satisfy the demand that we know is out there. I mean, focus already quantified that at the $60 billion, $70 billion, I forget the total number, but it's a really big number that already exists. You don't have to imagine anything else happening, it's just scattered over huge number of vendors including a ton of kind of walk up or last minute purchase. And so if our destiny – if we can hope for our destiny to be that online travel agency for attractions then TripAdvisor brings the demand, Viator brings the supply, and it's a pretty nice match on a product that sold online with high margins, gosh, looks very similar to the hotel space and we all know a couple of OTAs in the hotel space that are very big and very profitable. So, we like those – we like those proof points.
Mark S. Mahaney - RBC Capital Markets LLC: Thank you, Steve.
Julie M. B. Bradley - TripAdvisor, Inc.: And, Mark, I just want to jump, I know you asked for the long-term, but I just want to get in there a little bit about reemphasize the short-term, especially when it gets to – comes to Viator and that it's a highly seasonal revenue stream just based on the way that we recognize revenue. And just to give you a sense of how significant that is, about 10% of 2015 Viator's total revenue was recognized in Q1. And we expect Q3 will recognize about 40% of the total. So pretty significant swings throughout the year and often you should when looking at overall EBITDA margins and remember that their cost structure is evenly distributed.
Operator: Our next question comes from Brian Fitzgerald with Jefferies. Your line is open.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. Maybe some additional color on mobile, Steve, you mentioned the improving mobile monetization rates. What are the trends there in terms of narrowing that monetization gap, what's kind of driving that? You mentioned some improvements were driving that. And then any unique insights from the Samsung pre-installed relationship? Is that extended to the newer models also? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: So, I don't think I can comment on the Samsung stuff at this point. The mobile modernization, I'm not sure I can point to anything specific. Obviously, we believe the Instant Booking is a positive factor, just more general usage is a positive factor. And the team has done a nice job just making the app easier and easier to use. And it's kind of hard to point to a single thing but it's getting better and better, and therefore monetization getting the traffic that comes in to the right hotel, and therefore generating some revenues from us – or for us either through Instant Book or meta.
Brian P. Fitzgerald - Jefferies LLC: Great. Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Okay.
Operator: Our next question comes from Naved Khan with Cantor Fitzgerald. Your line is open.
Naved A. Khan - Cantor Fitzgerald Securities: Yeah, hi, thanks. On the business listing side, what portion of the business listing customers have you migrated to property-based pricing versus the flat-fee structure that you used to have?
Stephen Kaufer - TripAdvisor, Inc.: So, quite a while ago we had a pricing, I mean the business listing pricing has gone through a number of evolutions. There used to be pricing that was more geographic and focused with different tiers and then over a year ago, it went to sort of property-specific pricing. So, at this point, I would say almost everybody – a bit of a guess but I would have to guess almost everyone is on property-specific pricing now. So there wouldn't be any other changes – a number of properties have seen the price go up, as we've kind of right-sized it for the value that we've been delivering in terms of clicks and page views and overall visibility.
Naved A. Khan - Cantor Fitzgerald Securities: Understood. And then, on the – in the restaurant business – do you see more M&A opportunity on the transactional side such as lafourchette or do you think there are equally compelling opportunities to acquire review sites to increasing your – the depth and breadth of your content.
Stephen Kaufer - TripAdvisor, Inc.: Review – restaurant review sites?
Naved A. Khan - Cantor Fitzgerald Securities: Yeah. So M&A opportunity between transactional businesses such as lafourchette or acquiring review sites.
Stephen Kaufer - TripAdvisor, Inc.: I mean I'd say we are an acquisitive company, so we look at a wide range in restaurants and, obviously, outside of restaurants. I think if you looked at the acquisitions we've done, they've been more focused on the transactional side, but you won't hear me ruling out anything else.
Naved A. Khan - Cantor Fitzgerald Securities: Thank you.
Operator: Our next question comes from Peter Stabler with Wells Fargo Securities. Your line is open.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks for taking the question. Two quick ones. Steve, you mentioned the additional countries that are now seeing some availability of Instant Book. Is it possible to size the percent of queries that are now seeing Instant Book or the percent of hotel shoppers who are encountering that option? And then, secondly, wondering if you could provide any color on your efforts in China? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Sure, so I can't really size the percent of hotel shopping queries that see Instant Book, I'm not up to speed myself on the exact rollout of what we're currently seeing in different markets and it does fluctuate. U.S. is a big market and Instant Book is available on lots of properties there. So, it's certainly easy to find if you're looking for it. In China, it is a huge market. It remains a fast growing market. It is super-ultra-competitive and when we look at our efforts to-date, we have to acknowledge ton of hard work by the team, good product, good efforts, but and I have to say sort of status quo is not what we're aiming for here. We're not winning in the way that we wish to and so from – the team has – in China has come back and said, hey, here's a set of things that we need to do differently to succeed in a particular space within the China travel landscape. Outbound travel, you can see on the site is a particular highlight of ours and it does in fact resonate with Chinese travelers, because we have a phenomenal amount of international content. And while we have every hotel you could want to stay in, in China, the strength of us versus the competition for the Chinese traveler we feel it plays to our strengths focusing on the outbound. So, you can see a bunch of that on the site today and I can simply hint that more change to come over the course of the year.
Peter C. Stabler - Wells Fargo Securities LLC: Is – can I quickly follow up, is content creation going okay over there?
Stephen Kaufer - TripAdvisor, Inc.: Yeah, I'd say I view that both through the lens of, look, do we have the restaurants and attractions and hotels that we need so people can review them and are they placed accurately on a map, that sort of thing. Do we have photos for them? And the general answer is, yeah, I think we're doing pretty well there. And then do we have local language reviews for things that the Chinese traveler wish to see domestically and internationally? And that's a build for us. We're pretty strong there. So we don't view our – we don't view the situation as only if we had another X amount of reviews we'd be fine, we're looking at a more – kind of a bigger shift to target the specific audience for whom we have a clearly winning content and commerce play compared to the competition.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks, Steve.
Stephen Kaufer - TripAdvisor, Inc.: Yeah.
Operator: Thank you. I'll now turn the call back over to Steve Kaufer for closing remarks.
Stephen Kaufer - TripAdvisor, Inc.: Great. Well, thank you all very much. We want to thank all of you and thank everyone and the entire TripAdvisor, Inc. family for all their contributions over the quarter and I look forward to updating everyone again next quarter. Thanks.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect and everyone have a great day.